Operator: Good morning, and welcome to S&P Global's Third Quarter 2025 Earnings Conference Call. I'd like to inform you that this call is being recorded for broadcast. [Operator Instructions] To access the webcast and slides, go to investor.spglobal.com. [Operator Instructions]. I would now like to introduce Mr. Mark Grant, Senior Vice President of Investor Relations and Treasurer for S&P Global. Sir, you may begin.
Mark Grant: Good morning, and thank you for joining today's S&P Global Third Quarter 2025 Earnings Call. Presenting on today's call are Martina Cheung, President and Chief Executive Officer; and Eric Aboaf, Chief Financial Officer. We issued a press release with our results earlier today. In addition, we have posted a supplemental slide deck with additional information on our results and guidance. If you need a copy of the release and financial schedules or the supplemental deck, they can be downloaded at investor.spglobal.com. The matters discussed in today's conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including projections, estimates and descriptions of future events. Any such statements are based on current expectations and current economic conditions and are subject to risks and uncertainties that may cause actual results to differ materially from results anticipated in these forward-looking statements. Additional information concerning these risks and uncertainties can be found in our Forms 10-K and 10-Q filed with the U.S. Securities and Exchange Commission. In today's earnings release and during the conference call, we are providing non-GAAP adjusted financial information. This information is provided to enable investors to make meaningful comparisons of the company's operating performance between periods and to view the company's business from the same perspective as management. The earnings release contains financial measures calculated in accordance with GAAP that corresponds to the non-GAAP measures we are providing, and the press release and the supplemental deck contain reconciliations of such GAAP and non-GAAP measures. The financial metrics we'll be discussing today refer to non-GAAP adjusted metrics unless explicitly noted otherwise. I would also like to call your attention to certain European regulations. Any investor who has or expects to obtain ownership of 5% or more of S&P Global should contact Investor Relations to better understand the potential impact of this legislation on the investor and the company. We are aware that we have some media representatives with us on the call. However, this call is intended for investors, and we would ask that questions from the media be directed to our Media Relations team whose contact information can be found in the press release. At this time, I would like to turn the call over to Martina Cheung. Martina?
Martina Cheung: Thank you, Mark. In the third quarter, we delivered record revenue, record operating profit and record EPS. On every headline financial metric, it was the strongest quarter we've ever had. Revenue increased 9% year-over-year with subscription revenue increasing 6%. We continue to make important strategic investments while focusing on productivity and disciplined execution. This allowed us to deliver 180 basis points of margin expansion on a trailing 12-month basis and increased our adjusted EPS by 22%. We also returned nearly $1.5 billion to shareholders through dividends and buybacks since our last earnings call. We're also announcing today that we expect to launch an additional $2.5 billion share repurchase during the fourth quarter following our Investor Day. This will allow us to return approximately 85% of 2025 adjusted free cash flow while still using the net proceeds from the OSTTRA divestiture for additional share repurchases. We now expect to fund the acquisition of With Intelligence through a combination of $1 billion in incremental debt and cash on hand. The double-digit revenue growth in our Ratings and Indices businesses really highlight the incredible value of our global franchises. The investments we've made in prior years, particularly in capacity, new products and technology, allow us to efficiently meet market demand in these periods of favorable market conditions. Market Intelligence also saw another quarter of revenue acceleration on both a reported and organic basis. Improvements in productivity and execution have supported the acceleration of revenue growth and margin expansion in the quarter. We continue to be pleased with the results the teams are delivering. We've been focused on innovation across the company, and we made some very exciting announcements recently that we believe will accelerate our leadership in strategically important areas. As I'll discuss in a moment, we've announced a number of important advancements in AI. We also announced the planned acquisition of With Intelligence, and we announced an exciting partnership with both Cambridge Associates and Mercer. This multipronged approach to innovation and growth allows us to be nimble and decisive in our approach to strategic growth and combine assets in unique ways to serve our customers. We also wanted to call attention to our progress in artificial intelligence. And later in the call, I'll give a bit of a preview into some of what we'll be discussing at Investor Day. This morning, we announced in our press release that we have signed an agreement to divest our Enterprise Data Management and thinkFolio businesses, subject to customary closing conditions. This is a continuation of our efforts to streamline and simplify our business while making sure that our products and services are strategically aligned. We will always strive to be good stewards of our portfolio of businesses, and we may continue to make tactical divestitures from time to time. However, with these announcements, we can say that this multiyear exercise of portfolio optimization within Market Intelligence is substantially complete. Before I get into further details of our performance this quarter, I want to touch on some leadership announcements we've made recently. First, Dan Draper and Swamy Kocherlakota will be departing, as previously announced; and second, Mark Eramo will be retiring. I want to extend my heartfelt thanks to each of them for their meaningful contributions and leadership over the years and for their help to ensure a smooth transition. With Mark's retirement, Dave Ernsberger will assume the role of sole President of Commodity Insights. We're also thrilled to welcome Catherine Clay as the new CEO of S&P Dow Jones Indices, who will be joining next week. Now turning to the current market conditions. Billed issuance increased 13% year-over-year in the quarter with particular strength in high-yield and structured finance. Equity markets continued to perform well in the third quarter as equity prices and equity inflows both contributed to a very strong quarter in our indices business. With volatility tempering from the elevated levels we saw in the second quarter, our ETD growth moderated somewhat as well, but remained positive against a difficult compare from last year. While we have seen some pull forward of high-yield refinancing from the 2026 maturity wall, we remain encouraged by the fact that for high-yield specifically, the Q4 maturity wall is 6% higher than what we saw at this point last year, while the 1-year forward maturity wall also remains healthy. In investment grade, the Q4 wall is very modestly lower than what we saw last year, while the 1-year forward maturity wall is still higher. Our outlook for the rest of the year assumes billed issuance growth in the mid- to high-teens range in the fourth quarter and assumes that U.S. equity markets are flat from September 30. Eric will walk through what that means for guidance in a moment. Now turning to some very exciting news from earlier this month. We announced the planned acquisition of With Intelligence, which we expect to close by early 2026, subject to customary conditions. With Intelligence brings an incredible amount of differentiated data on private markets, including extensive data in private equity, private credit, infrastructure, hedge funds and family offices. Importantly, this data is sourced directly from asset allocators and fund managers. S&P Global can combine that contributory data with our already massive data estate covering more than 50 million private companies, our pricing and valuation data from MI, credit ratings and estimates, energy data from CI, and infrastructure and data center information from 451 Research. This unique combination of differentiated private markets data will allow S&P Global to provide essential intelligence to customers that they will not be able to get from any other provider. The team at With Intelligence has built a truly incredible company, and we believe that we will be able to accelerate the growth of With Intelligence as part of S&P Global's Market Intelligence division. Our goal is to create the most comprehensive solution for private markets participants anywhere in the world. We're excited to tell you more about our long-term vision for private markets at Investor Day in a couple of weeks, but this acquisition helps us take another meaningful step towards turning that vision into reality. The acquisition of With Intelligence is just one of the many ways we are adding to innovation. In the last few months, we've also made some very exciting announcements around our organic product innovation. In the third quarter, we announced AI-powered document search within iLEVEL. This comes quickly after the launch of automated data ingestion, or ADI, in iLEVEL earlier this year. iLEVEL is already the leading platform for private markets portfolio monitoring. And while ADI made it easier for users to bring new data into the platform, Document Search makes it easier for them to get portfolio intelligence out of the platform. Just last week, we announced the launch of Document Intelligence 2.0 within Capital IQ Pro. The new Document Intelligence allows users to extract real insights across multiple documents simultaneously. We brought deep research functionality and allowed users to leverage that within our data and content without ever having to leave the Capital IQ platform. Users can now analyze multiple documents from different sources, including filings, transcripts, investor presentations, news and proprietary research, all simultaneously through a familiar conversational interface. We're not just making our products better either, we're also innovating new ways to let users interact with our data and content. In recent months, we've announced collaborations with Microsoft, Anthropic, Google, Salesforce, IBM and others to make sure that wherever our customers are working, they are doing it with S&P Global's differentiated data. While still in early stages and with strong IP protections in place, we view these collaborations as important ways to reach new customers and help our existing customers to get the most out of the leading tools in the market. We'll have demos of all of these innovations available in the product showcase at our Investor Day in just a few weeks. Back in September, we announced a strategic collaboration with investment firms, Cambridge Associates and Mercer, to deliver comprehensive private markets performance analytics, and we expect to launch a beta by year-end. We also announced a collaboration with Centrifuge to bring the S&P 500 Index on chain, expanding access to the world's most widely recognized benchmark. Centrifuge is a decentralized infrastructure provider specializing in real-world asset integration. And this collaboration lets us enter the fund tokenization space by licensing the S&P 500 Index. In addition to the acquisition of With Intelligence, we also recently announced the completion of our acquisition of ARC Research. ARC Research is the leading independent provider of investment performance data, benchmarking capabilities and insights in the private wealth market. It maintains the world's largest proprietary data set of more than 500,000 private client portfolios with decades of history. We're thrilled to add ARC Research's impressive capabilities to our wealth initiatives within S&P Dow Jones Indices. We continue to look for new ways to meet our customers' needs and these recent announcements of organic innovation, strong partnerships and the acquisition of truly differentiated assets are all examples of S&P Global driving greater customer value. We're seeing that show up in our customer conversations as well. In the third quarter, we had another major investment bank adopt Capital IQ Pro as its primary desktop solution in a competitive displacement, driven by the value in our data transparency, modeling flexibility and strategic support through a full migration to Capital IQ Pro, Visible Alpha and our GenAI capabilities. We also had a very strong expansion with a large global asset manager in the quarter, where we were able to demonstrate clear customer value across multiple products, particularly within the software solutions of Market Intelligence and more than triple the total value of the contract. Perhaps the best example of S&P Global moving from strength to strength is in the area of artificial intelligence. S&P moved early and powerfully into the AI space many years ago, and we have continued to grow the business profitably ever since. As many of our investors will recall, we acquired Kensho back in 2018. Including that acquisition since 2018, we have invested over $1 billion in AI innovation across 3 developmental stages. From 2018 through 2021, we invested to build out foundational capabilities through products like Kensho Link, Kensho Scribe, Kensho NERD and Kensho Extract. These tools have enabled us to look across our global data estate, scrub, process and tag data and link that data across multiple data sets. We can also create machine readable files from unstructured data like audio recordings of earnings transcripts and automate the ingestion and tagging of new data sets. These foundational capabilities are incredibly important in a world where machine readable metadata is a prerequisite for usage of any data in an LLM. In 2022, we shifted to early innovation in GenAI. With the advent of large language models, our early actions in AI positioned us very well to leverage our expertise in the field and find exciting applications of LLMs in our ecosystem. We launched the first version of Document Intelligence as well as ChatIQ within Capital IQ Pro and conversational search in our S&P Global marketplace. As more and more of our customers were coming to us for help finding ways to marry S&P data with rapidly evolving technology, we accelerated the deployment of GenAI in our products over the last 3 years. You can see that on the slide. Almost all of the new GenAI-powered products, features and enhancements were built leveraging the foundational AI technology built by Kensho over the past 7 years. Importantly, our AI innovation serves as a powerful example of our ability to leverage our scale, our expertise and our fiscal discipline. The fact that we made such bold investments early on means that we've been able to innovate very efficiently from a financial perspective. Aside from 2022, we have delivered meaningful margin expansion every year since we acquired Kensho in 2018, while still accelerating our AI innovation. We are confident we'll be able to continue driving both technological innovation and margin expansion in the years to come, which brings me back to our stellar financial results in the third quarter. Eric will provide more details shortly, but our results in the third quarter really spotlight the hard work, dedication and spectacular execution of our teams around the world. Not only did we see accelerating revenue growth for S&P Global, but we saw another consecutive quarter of acceleration in MI on both a reported and an organic basis. We also achieved meaningful margin expansion on a trailing 12-month basis in every single one of our divisions. We are pleased with the results in the quarter and look forward to seeing many of you at our Investor Day in just a couple of weeks. Eric, over to you.
Eric Aboaf: Thank you, Martina, and good morning, everyone. Starting with Slide 12. The third quarter demonstrated the power of our business as we delivered accelerating revenue growth and very significant margin expansion while still reinvesting in product innovation. Reported and organic constant currency revenue both grew 9%, while expenses grew 2%, enabling us to deliver 330 basis points of year-on-year margin expansion to 52.1%. Excluding the contribution from OSTTRA, which was divested earlier this month, adjusted margins would have been 51.6% and margin expansion would have been slightly higher. Through our disciplined execution and continued capital returns, we delivered 22% growth in adjusted diluted EPS. While this slide demonstrates the diversity of our revenue streams across the divisions, we also want to provide some additional insight into the different types of products and services that generate that revenue for us. The majority of our revenue comes from the benchmarks we provide, all of Ratings, all of Indices, all of Platts within Commodity Insights, as well as the distribution of our Ratings content through Credit and Risk Solutions in MI. We also generate revenue from workload tools and software like Capital IQ and the Enterprise Solutions business in Market Intelligence and a portion of the upstream business in Commodity Insights. Our proprietary content, research and data sets as well as data that is heavily curated, enhanced and linked makes up the rest of the Commodity Insights' and a large portion of MI's Data, Analytics & Insights business. What is left is data that is publicly available and not materially enhanced by S&P Global. That portion makes up about 12% of Market Intelligence and less than 5% of the company's total revenue. That means that over 95% of the revenue is derived from proprietary sources, and the value that we generate for our customers really can't be replicated by any other single company. We plan to provide more detail around this breakdown at our Investor Day, but we thought it would be helpful in the current environment to at least provide this early view. Slide 13 illustrates the progress we are making in key strategic growth areas. Energy Transition & Sustainability revenue grew 6% to $96 million in the quarter, driven by demand for data and insights from Commodity Insights and sustainability products in our Indices division. Moving to Private Markets. Our revenue growth doubled from last quarter, accelerating to 22% year-over-year to $164 million. Growth was primarily driven by Ratings benefiting from strength in private debt issuance and middle market CLOs. S&P is committed to bringing increased transparency to the private markets and our acquisition of With Intelligence as well as our recent partnerships will enable us to further deliver on this mission while reinforcing our leadership position and accelerating our revenue growth. We are very excited to announce that in the third quarter, we achieved our merger revenue synergy target on a run rate basis, well in advance of the time line we laid out back in 2022. We exited the quarter with $355 million of run rate synergies and thus no longer expect to report on these synergies going forward. Finally, our ability to innovate across our business remained a key growth driver in the third quarter. We continued to deliver a vitality index at or above our 10% target. Turning to our divisions. On Slide 14, Market Intelligence accelerated revenue growth on both the reported and organic basis in the third quarter. We are particularly encouraged by the 8% organic constant currency growth, which represents the strongest organic growth in MI in 6 quarters. Continued strength in subscription was augmented by double-digit growth in our volume-driven products. We look forward to finishing the year strong. Data, Analytics & Insights had revenue growth of 5%, with organic revenue growth up 6% year-over-year, aided by especially strong demand for industry and company data. Enterprise Solutions benefited from an increase in issuance volumes in the secondary loan markets and strong demand for our lending workflow solutions as well as robust growth in subscription products. Reported revenue growth of 9% included the impact of $10 million in Fincentric revenue in the year-ago period. Excluding that impact, organic growth accelerated to 13% year-over-year. Credit & Risk Solutions grew 6% on a reported and organic basis, continuing to benefit from demand for Ratings data feeds that are catering to client needs for digitization and automation. Adjusted expenses increased 1% year-over-year, largely driven by higher base compensation expense, partially offset by productivity savings and elevated incentive compensation last year. This resulted in Market Intelligence's very significant operating margin expansion of 360 basis points to 35.6%. We are raising the low end of the guidance range for revenue growth given the acceleration in organic growth we've seen over the last 2 quarters. While we continue to expect some incremental investment expense to land in the fourth quarter, we are raising our guidance range for MI margins by 75 basis points at the midpoint for the full year. Now turning to Ratings on Slide 15. In the third quarter, strong investor demand and resilient market sentiment contributed to a favorable financing environment and supported our growth in issuance volumes. Ratings revenue increased 12% year-over-year, well above our internal expectations and with the growth balanced between both transaction and non-transaction revenues. Transaction revenue grew 12% in the third quarter, benefiting from particular strength in high-yield and bank loan issuance. Favorable market conditions supported refinancing activity as high-yield issuers took advantage of spreads, and we continue to see elevated demand in structured finance. Non-transaction revenue also increased by 12%, driven primarily by higher annual fee revenue. Contributions from initial Issuer Credit Ratings, or ICRs, and Rating Evaluation Services, or RES, were both above our expectations as well. In fact, the third quarter was a record for us in RES revenue. Adjusted expenses declined 4% based on the lapping of elevated incentive compensation last year and continued productivity improvements. This contributed to the division's 540 basis points of margin expansion to 67.1%. We are raising our outlook to reflect the third quarter's outperformance and our assumption of continued favorable market conditions in the fourth quarter. We expect billed issuance growth in the mid- to high-teens range in the fourth quarter, driven by continued refinancing activity and opportunistic issuance. While we expect M&A volumes to improve going forward, we continue to expect 2025 volumes to be below historical norms, including in the fourth quarter. And now turning to Commodity Insights on Slide 16. Revenue increased 6%, largely driven by the eighth consecutive quarter of double-digit growth in Energy & Resources Data & Insights. Energy & Resources Data & Insights and Price Assessments grew 11% and 7%, respectively. Our commercial momentum persists as we continue to transition more customers to enterprise contract relationships, though growth was somewhat tempered by the incremental sanctions we called out last quarter. As I'm sure many of you saw, the United States recently introduced additional sanctions just last week, and I'll walk you through the expected impact shortly. Advisory & Transactional Services revenue grew 4%. We had another record quarter in Global Trading Services. However, we continue to see the impact of headwinds we called out last quarter, primarily in consulting and non-subscription revenue associated with the uncertainty in the energy markets. Upstream Data & Insights revenue declined 2% year-over-year as expected. The decline was driven by customer consolidation in the energy space and lower oil prices weighed on discretionary spending. We expect these headwinds to persist through the fourth quarter and likely into next year. The Upstream business has some truly valuable and differentiated data, and we're working diligently to help our customers realize the value of our offering. As we mentioned last quarter, we are actively intervening by engaging with clients, accelerating product innovations and aligning commercial incentives to stabilize the business and reposition it for growth. Adjusted expenses increased 6%, largely driven by the lap of a onetime credit related to higher royalty and conference costs and higher compensation expense, partially offset by productivity initiatives. Operating profit for Commodity Insights increased 7% and operating margin expanded by 30 basis points year-over-year to 48.1%. We are tightening the ranges for both revenue growth and operating margin for the full year. While we continue to expect strong revenue growth and margin expansion in CI for full year 2025 and beyond, we do expect the modest headwinds we discussed today to persist into at least the early part of next year. As I mentioned a moment ago, we have seen some additional sanctions introduced recently that could impact our Commodity Insights business. In total, we expect the sanctions introduced since we gave our initial guidance in February to contribute a headwind of approximately $6 million to Commodity Insights in 2025 and approximately $20 million of headwinds in 2026. This, of course, assumes the current sanctions remain in place and no new sanctions are introduced. Now turning to Mobility on Slide 17. Revenue grew 8% year-over-year, highlighting the mission-critical nature of the division's products and strong execution, notwithstanding the ongoing tariff and regulatory uncertainty lingering across the OEM and manufacturing end markets. Dealer revenue increased 10% year-over-year, driven by strong performance in products such as CARFAX and automotiveMastermind. Manufacturing revenue declined 3% year-over-year as tariffs and related uncertainty weighed on consulting revenues and discretionary spending at automotive OEMs. Financials & Other increased 12% as the business line continues to benefit from the strong underwriting volumes and commercial momentum. Adjusted expenses grew 6%, driven by continued advertising and promotional investment, but offset by strong operating leverage and the lapping of elevated incentive compensation last year. Segment margins improved 110 basis points year-over-year to 43.3%. Lastly, we remain on track to meet our key milestones for our spin-off of our Mobility division. We will continue to keep investors updated on the progress of the separation. Now turning to S&P Dow Jones Indices on Slide 18. Revenue increased 11% with double-digit growth in Asset-Linked Fees, which benefited from both higher AUM and net inflows and in Data & Custom Subscriptions revenue. Revenue associated with Asset-Linked Fees grew 14% in the third quarter. This was driven by higher equity market appreciation and strong net inflows into products based on S&P Dow Jones Indices. Exchange-traded derivatives revenue were up 1% against a difficult year-over-year comparison, supported by higher average daily volumes in our SPX ETDs. Data & Custom Subscriptions increased 10% year-over-year, driven by new business growth in end-of-day contracts, which posted low double-digit growth and growth in our real-time offerings. Adjusted expenses were up 7% year-over-year, driven by strategic investments, partially offset by lower incentives. Indices operating profit grew 12% and operating margin expanded 100 basis points to 71.2%. Our outlook for 2025 assumes U.S. equity markets are flat from September 30 through the end of the year, and we expect modest year-over-year growth in ETD volumes in the fourth quarter. Now turning to guidance. Slide 19 outlines our enterprise guidance on a GAAP and adjusted basis. We are raising our enterprise outlook for total revenue growth and margins. We now expect total revenue growth in the range of 7% to 8%, and we expect adjusted margins in the range of 50% to 50.5%. We're also showing guidance for margin, ex OSTTRA, for year-on-year comparability purposes. As I'll discuss in the next slide, we expect higher revenue growth for Ratings and Indices and we tightened our ranges to the upper end for Market Intelligence and Mobility, while we slightly lowered the higher end of the range for Commodity Insights. We now expect adjusted diluted EPS in the range of $17.60 to $17.85, 4 percentage points above the initial guidance we provided back in February and representing growth of 12% to 14% year-over-year. We expect the additional share repurchases we announced this morning to be neutral to adjusted EPS in 2025, given how late we are in the year, but we expect the reduction in share count to more than offset the additional interest expense in 2026 and beyond and be slightly accretive to EPS. Moving to the division outlook on Slide 20. Our revenue guidance for Market Intelligence was lifted towards the upper end of our prior range to 5.5% to 6.5%, reflecting our strong execution and the acceleration in organic growth year-to-date. For Ratings, based on the current expectation for mid- to high-teens Billed Issuance in the fourth quarter, we expect revenue growth of 6.5% to 8.5%, which is above previous guidance, including our outperformance in the third quarter. We trimmed our outlook for Commodity Insights at the upper end of our prior range due to the sanctions and the other factors I discussed previously. For Mobility, we raised the revenue guidance range towards the upper end of our prior range. For Indices, we now expect 10% to 12% revenue growth, reflecting market strength and higher net inflows. Our updated outlook is now well above our initial 8% to 10% outlook in February. On the next slide, we are raising our margin outlook for the enterprise with higher margins in nearly every division, as I discussed previously. We are pleased with the financial results the team delivered in the third quarter. These results highlight the vital importance of our products to our customers, especially in the dynamic environment we've seen thus far in 2025. We continue to focus on rapid innovation, prudent strategic investment and disciplined execution. We saw the results of that focus in the third quarter. As we look forward to Investor Day in a couple of weeks, we're excited to tell you more about what's coming next. We have a compelling strategy that we believe will drive revenue growth and margin expansion in the years to come. With that, I'll turn the call back over to Mark for your questions.
Mark Grant: Thank you, Eric. [Operator Instructions] Operator, we will now take the first question.
Operator: Our first question comes from Toni Kaplan with Morgan Stanley.
Toni Kaplan: Market Intelligence organic growth of 8% was really a standout this quarter. I was hoping you could expand more on the success there, whether you're seeing a better market environment, higher pricing or just more success with your new product introductions. And thanks for the color on sort of the AI and everything associated there. It sounds like you have been investing nicely in those types of technologies. It sounds like you've continuously invested there and don't need to like really ramp that up, that it will scale. So just wanted to sort of hear your thoughts on MI in terms of growth drivers and investment.
Martina Cheung: Toni, it's Martina. Thanks so much for the question. And let me first respond and then I'll hand over to Eric. So yes, we were extremely pleased with the results in the quarter, and it is a continuation of the strong execution that we've seen from the Market Intelligence leadership team throughout the course of this year. You'll recall that we've talked a lot about the revenue transformation that the team has undergone. That includes greater alignment, reducing the silos amongst the sales teams, and reducing the incentives and simplifying the overall revenue model. And in addition to that, as you said, we've had incredible product innovation that we're very excited about. So all those things have contributed. We also have worked very closely -- or see work very closely between the Market Intelligence sales teams as well as the Chief Client Office. And as a result of that, we've seen competitive wins, and we've seen some really great deals in the quarter. So maybe just one example of the competitive win with a major investment bank who chose Capital IQ Pro as their primary desktop, and did that because we could bring not just the comprehensive nature of the desktop, but also Visible Alpha as well as great excitement in the Generative AI capabilities that we've announced. And so those are some good examples of the growth drivers in focus. The other point that I would make and, yes, in response to your observation around the fact that we've been innovating and investing for a decade now. We see that with the acquisition of Kensho and really the foundational capabilities that Kensho has developed over many years. And as I said in the prepared remarks, that's allowed us to build and innovate very economically from a financial perspective. We'd anticipate continuing to do that going forward. Eric, maybe over to you as well for more comments.
Eric Aboaf: Sure. Toni, we've been really pleased with the momentum around growth in MI. Pipeline has been healthy. Sales are up around 10% on a year-to-date basis. So we've got good momentum. That's translated into nice ACV growth. ACV has been ticking up quarter after quarter after quarter. In the first quarter, we said it was a bit over reported revenue. In the second quarter, we said it had ticked up. In the third quarter, I can also confirm that it's up again. And on an organic ACV basis, which is how we describe the business, we're growing in the 6.5% to 7% range. There's always a bit of ups and down in the reported growth because of the volumetric and transaction revenues that come in. That's what got us to 8% reported -- I'm sorry, 8% organic this quarter. But we're seeing the momentum that we [indiscernible] see, and it's a result of a lot of the actions that Martina just summarized.
Operator: Our next question comes from Faiza Alwy with Deutsche Bank.
Faiza Alwy: I wanted to ask about Ratings. I think you made some comments around the maturity wall for 2026 and some pull forward in high-yield and lower maturity wall for investment grade. And then you also said that RES revenue was strongest ever. So I'm curious how you would characterize sort of where we are in terms of normalization of Ratings issuance and how we should think about growth over the next few years in Ratings.
Martina Cheung: Faiza, thank you for the question. So we have seen this year growth beyond what we actually expected at the beginning of the year. And it's quite remarkable given the record issuance that we saw in 2024. Q3, as we have said and you pointed out, there are very strong high-yields and bank loans. We saw opportunistic issuance. We saw M&A, again, not at historical averages but more than we would have anticipated earlier in the year, and those are all contributing to the Billed Issuance growth that we saw. The second point I would make around Q4 is, seasonally, we would have usually seen maybe not as fast growth from an issuance perspective in Q4. However, we are expecting Q4 to look more or less similar to Q3, probably 1% or 2% below or above Q3, which is why we guided to mid- to high-teens there for issuance. And that would be a combination of factors. We are seeing opportunistic issuance with spreads at really record levels. And we're seeing a little bit of pull forward from 2026 from a refinancing perspective. And we do expect issuance across both investment grade and high-yield. I would just mention the investment grade may fall into our frequent issuer fees. So you wouldn't see that necessarily in our transaction fees in Q4. And maybe just again there, consistent levels of M&A that we saw in Q3. I think as it relates to your overall question on how we feel about the outlook, look, at this point, we're looking at maturity walls through 2026 that are about 8% higher than they were this time last year, and our maturity walls through 2028 are quite strong. And so we're excited about the Ratings business going forward. Let me maybe pass over to Eric to talk a little bit about the non-transaction revenue as well.
Eric Aboaf: Faiza, what I like about the Ratings business is it's got both that transactional component that Martina just described and the non-transactional, which is really around surveillance and, I'll call it, the accumulated set of clients and ratings that we support and monitor for our clients. And so what that creates is a bit of a flywheel or a ballast to growth that creates continuity for us that's quite strong. It includes both RES and ICRs, which were up over 20% this quarter. It includes some of the CP monitoring. CP was up strongly. So the 12% up this quarter on a year-on-year basis was really quite strong. We don't expect it to be that strong every quarter, but it's the kind of continued revenue momentum that -- or revenue engine, I would say, that really creates continued growth in the business at a nice and consistent pace and is a really important part of our franchise.
Operator: Our next question comes from Manav Patnaik with Barclays.
Manav Patnaik: Thank you for the slide on the AI spend over the years and how that's helped margins. I wanted to just ask within MI itself going forward, how big a role do you think AI will have in helping expand those margins in a meaningful way? Because it's always been, obviously, one of the more competitive areas that you've always had to invest. So just trying to think about how that changes that balance.
Martina Cheung: Manav, let me start, and I'll hand over to Eric as well. We're excited about AI, and we have been for quite some time. And we do think that our historical investment there and innovations over the last decade have positioned us extraordinarily well, especially in Market Intelligence. I'd characterize the benefit there in 2 ways because, of course, we will be able to innovate economically from a financial perspective, as I've mentioned in the prepared remarks, based on the foundational capabilities that we have. But bear in mind, we'll get growth and we'll get productivity in both cases in Market Intelligence. And so on the growth side, you'll see us continuing the rapid pace of innovation within our current product estate. And we monetize that in 2 ways. The first would be in features and enhancements that we wouldn't separately monetize, but would be part of ongoing conversations around how we create value for customers. The second will be in actual add-on. So a good example of that would be the ADI, or automated document ingestion, that we launched for iLEVEL, which has really great uptake in our iLEVEL customer base as an add-on. And then, of course, we will launch new products. In the quarter, for example, we launched a new product combining ProntoNLP's capabilities with our machine readable transcripts, and it really allows users to extract sentiment and characteristics from -- excuse me, filings, not transcripts in a much more efficient way. And then remember that we will also partner with new distribution channels, the hyperscale partners and others such as Salesforce and IBM to ensure that we can monetize there as well. One example I wanted to give you there is a way in which we would think about these partners as greater channels for customer acquisition is that with the IBM partnership, we will make S&P Global agents available within IBM's systems so that IBM's customers can actually access S&P Global maritime and trade insights, procurement insights and economic and country risk insights. And so these are all ways in which we're increasing the monetization capabilities, which will drive commercial value. Maybe let me hand over to Eric on the productivity side.
Eric Aboaf: Manav, it's Eric. As much as we're interested in AI on driving top line growth, and there are just a series of examples there and more to come. The benefits around productivity, I think, are beginning and are real. And I'll give you a couple of examples. For example, MI and our other businesses, together we consolidated our data operations into an enterprise data office, about 6,000 employees within MI that moved into that group. It's now 8,000 in total across the company. And what we're able to do is begin to reduce some of the redundant activities, consolidate workflows, process map and begin to actually consolidate tools. And a lot of those tools that we're now using are, in fact, AI-driven. We actually moved about 6,000 of our data operators onto an internally developed content workflow tool that was vibe coded, and actually then reduce some of our licensing costs for some of the fragmented or, I guess, multiplicity of tools that we previously had. And that in and of itself has actually driven multiple millions of dollars of savings this year. But it's not just in MI. We're doing this across the company. In Commodity Insights, as you know, we have a large pool of researchers where they leverage off of our data. But we've started to use AI tools for content creation, for first drafts of research reports, to update and synthesize data sets, so both structured and unstructured data. And that, too, has already created multimillions of dollars of savings this year and it's part of what's actually helping with the margin expansion. So we see the benefit of GenAI at the beginning with more to come. And in truth, it's a real aid to the business, both for accelerating top line growth, but also to expand margins at the same time.
Operator: Our next question comes from Scott Wurtzel with Wolfe Research.
Scott Wurtzel: Martina, just wondering if you can talk a little bit more about the strength of the private markets growth that you saw given the meaningful acceleration there. And following the partnerships that you made with Cambridge and Mercer and the pending acquisition of With Intelligence, just how you feel about the overall positioning of your private market data sets as we head towards the end of the year here.
Martina Cheung: Scott, yes, we had a strong quarter, and that was driven largely by very strong issuance within Ratings. And in there, it was across a multitude of products, not just debt ratings but also structured finance. We saw data center securitizations, middle market CLOs and other issuance driven by private markets participants. And so very good performance. We're excited as well, to your point, around the growth opportunities that we are afforded with the announcement of the partnership of Cambridge and Mercer, but also With Intelligence. And this is an area where we are responding to needs of customers in the market and gaps in the market. So I'll give you one example here first with Cambridge and Mercer. There is a gap in the market right now to be able to actually get like-for-like comparisons for benchmark performance at the fund level, the deal level, the asset level. And with Cambridge and Mercer, we've worked with them. They are 2 leading companies in the space, and we've created a common classification system and really a global standard so that when companies report in iLEVEL, without needing to change their own reporting formats, we can interpret and concord their outcomes with this global standard, which Cambridge and Mercer have helped us to tune with their data. And that gives them more accurate and easy like-for-like comparisons to do benchmarking and understand exposures, et cetera. So that's wonderful. With Intelligence is bringing us data that has been critical for us in areas for use cases around deal sourcing, allocation, and also performance benchmarking. And these are areas that we've been developing organically over the last many years. And With Intelligence really allows us to accelerate those initiatives. The team has built an incredible database also with some very unique data. And as we looked at it, the more closely we looked at it, the more excited we got about the quality of the data. So you put all those things together and it gives us a great story and a great opportunity to expand our private markets revenues going forward. And we're excited to talk about it more at Investor Day. Thanks for the question.
Operator: Our next question comes from Ashish Sabadra with RBC Capital Markets.
Ashish Sabadra: One quick housekeeping question. Can you help us size the EDM and thinkFolio divestiture? But more importantly, I also wanted to follow up on an earlier question regarding MI, like with the 8% organic constant currency growth this quarter and improving ACV growth, the enterprise wins that you've talked about, and then when we blend in the acquisition of With Intelligence, how do you view your prior midterm guidance of 7% to 9% MI revenue growth going forward?
Eric Aboaf: Ashish, it's Eric. Let me tackle those in order. But as you know, we're still in 2025. And so it's a little premature to get into 2026. EDM and thinkFolio were not material to our consolidated financials. The revenues are relatively small, even relative to MI. And so to us, it was a good opportunity to exit. It will be slightly accretive to MI revenue growth on an organic basis and slightly accretive to margin to MI as well in 2026. So we're pleased with how this helps us reshape the portfolio. But as you said, for 2026, what we'll do is be quite transparent about our guidance. We'll make sure that there's clarity around the expected impact around each of the divestitures and the With Intelligence acquisition, which we're really quite excited about as another vehicle for accelerating our growth in MI going into the future.
Operator: Our next question comes from Alex Kramm with UBS.
Alex Kramm: Just wanted to come back on the AI discussion for a minute. I probably need to go back and read the transcript, but I think you gave a lot of detail here on how you think your business is breaking down. And if I heard the number correctly, I think in Market Intelligence, you think maybe just 12% of the business is maybe not as proprietary as the rest of it. So can you just speak to that a little bit more? What makes you comfortable that, that's the right number as, obviously, there's a lot of change coming from AI, maybe workflows change, maybe certain things will get in-sourced over time by some of the largest customers? So maybe help us a little bit if the message is, hey, almost 90% of Market Intelligence, you feel really strong around the AI defensiveness.
Eric Aboaf: [indiscernible] describe that in a little more detail. MI really is a composition of a number of different product lines. And maybe think about how we report, because it gives you a window into how we think about what is really unique to our franchise. So the first business, Credit & Risk Solutions is really around our own benchmarks and models. It's the data feeds, RatingsXpress, RatingsDirect and really completely proprietary in nature. The next portion of MI is Enterprise Solutions. That's really workflow and software tools. And we've got some of our premier assets in there, WSO, iLEVEL, ClearPar, Debtdomain. I mean you can go on and on. But each one of those is a unique construct that clients have embedded deeply into their own workflows and their own processes and so are quite important to what they do. And I don't think there's an easy way to replicate those from the outside given that they are both embedded and they have proprietary data within them. And then there's our Data, Analytics & Insights business, which is really the mix of data feeds and desktop. And I think on that one, you've got to think about it in a couple of parts. About half of that is literally proprietary, curated, enhanced data and advisory kind of information. And so you've got just the examples of our franchise that you know well. It could be some of the fixed income pricing, Compustat, the maritime data; if you operate in the commodity space, the valuation analytics, the advisory solutions, the events. That's literally half of Data, Insights & Analytics. We've got 1/4 of that product line that is a mix of workflow tools and benchmark models. A good portion of Cap IQ is in that, and that's, again, integrated into our clients and has a mix of workflow tools, but it has been built up off of that proprietary and enriched and enhanced data that we provide that I just mentioned. And then the last quarter of Data, Analytics & Insights, I think, is what you would describe as not as defensible. It's the undifferentiated data. It's things like the ownership data that comes in 13F filings that you can get from the SEC or you can get from us. It's the directories information. It's the transactional data. It's the assemblage of press releases that we provide to clients. And we even put a portion of Cap IQ in there, because we think some of that can be replicated in pieces. But we took a conservative assessment there as well. So all in all, it adds up to about 12% of MI, about 5% of the total company. And our view is -- our business really is about adding more and more data and, in particular, proprietary enhanced data every year, and expanding and deepening our workflow integration with our clients. And so in a way, it's a moving process that's always being enhanced and enriched, and it's what keeps us -- what's kept us differentiated in this business for decades. And we need to be vigilant. We need to be careful. We need to be active in this area, but we also feel it's really quite defensible and strong and foundational, what we provide, and not something that can be replicated.
Operator: Our next question comes from Jeff Silber with BMO Capital Markets.
Jeffrey Silber: Just wanted to go back to the quarterly results. The adjusted operating margin was really impressive, especially when looking at Ratings and the Market Intelligence business. Were there any onetime items in there? And I'm just wondering how sustainable you think that margin expansion is?
Eric Aboaf: Jeff, it's Eric. I think that was a particularly strong margin expansion quarter. If you recall, a year ago, there were some incentive compensation adds that we made. And on a year-on-year basis, kind of the impact of those incentive changes was about a 3 percentage point tailwind to expenses. And that's not something that necessarily repeats. It happens when it happens. And so you've got to just factor that into our expense growth rate. I think even with that, we feel quite strong and quite confident about [indiscernible] revenue growth substantially exceeded expense growth even adjusted for the incentives. I would say that if you're thinking about margin expansion, the trailing 12 months data that we provide is actually probably even more indicative of overall performance and something to take another look at as well.
Operator: Our next question comes from Craig Huber with Huber Research Partners.
Craig Huber: Martina, to your company's credit, for many, many years, you guys have had most of your contracts with clients on an enterprise-wide basis as opposed to a per seat model. Can you talk about that a little bit here? There's obviously a lot of fears out there in the marketplace that AI is going to displace a lot of the white-collar workers out there, et cetera, and that could hurt payments to data providers, analytics companies, et cetera, like your company. So just talk about that competitive moat, if you would, that you guys have had in place for well over 10 years now.
Martina Cheung: Thanks, Craig, for the question. What I would say is that the nature of our enterprise subscription models really protects us from, I would say, volatility in many forms. And we've seen, as you know, over the last 10 years, headcounts in end markets go up and go down and go up and go down. And so I'm not making any predictions around the impact of AI on our end users because I think it's not the only factor, quite frankly, that will impact drivers of increases or decreases. What I would say is that we are really thoughtful in how we add to the quality of what we do and the usability of what we do with our products, whether it is in Commodity Insights, in Market Intelligence and Ratings and Index. And as you know, we are actually really bringing to bear not just AI capabilities, but agentic workflows there as well, which we're being asked to do by our clients to help them to be as efficient as they can possibly be. And so our view is create value, be proactive with our customers and helping them to realize value from AI as well and an overall focus on higher levels of engagement with our customers and making sure that we can get the best experience for them as possible. Thanks for the question.
Operator: Our next question comes from Andrew Steinerman with JPMorgan.
Andrew Steinerman: Martina, I know you spoke just a little bit about the With Intelligence acquisition already. I'd like to hear a little bit more here. We're definitely intrigued by the private data space. There's a lot of providers in that space. So if you could help us compare With Intelligence to BlackRock's Preqin, who I see as the closest peer in terms of relative data coverage across asset classes. I know With Intelligence's heritage, which is further back, started with hedge fund data and then expanded through acquisitions into other asset classes. And so if you could just compare the 2 providers and give us that kind of insight, I think we'll understand the positioning better.
Martina Cheung: Andrew, thanks for the question. Yes, we are very excited about the acquisition. And the team indeed has emerged or matured, let's say, from their hedge fund beginnings into being a truly multi-asset class platform. It's private equity, private credit and areas that are very, very fast growing as well, like infrastructure and then quite unique data around family offices, for example. And so true multi-asset class scales covering the largest funds, information on 30,000 managers, 30,000 investors. And the quality of the data, quite frankly, is something that got us very, very excited. And that's really a testament to the phenomenal execution of the With Intelligence team. I think when you take that with the combination of what we already have within Market Intelligence and the organic growth that we've had there with our company data and with the data we've been collecting over the last several years, you've got something quite compelling. And then, of course, you tag on the potential with the Cambridge, Mercer partnership as well. And look, ultimately, we are confident that we can expand and accelerate the growth of with Intelligence within the Market Intelligence team. And the teams are really just sort of itching to get going here. So very exciting for us. Thanks, Andrew.
Operator: Our next question comes from Jason Haas with Wells Fargo.
Jason Haas: In response to an earlier question, you said that the Market Intelligence ACV has grown 6.5% to 7.5%. So I take it to mean that that's a good indicator for the underlying subscription growth of that business. But you also currently have a long-term target for 7% to 9% growth for Market Intelligence. So I'm curious if that long-term target still holds or if that's under review.
Eric Aboaf: Jason, it's Eric. We did go into ACV growth, which is a real, I think, important proxy for organic revenue growth on a consistent basis. And as we described, it's been ticking up over the last few quarters, which is the kind of trajectory we'd like to see. It's particularly in line with the trajectory of adding to sales, right? As sales are up each year, you'd expect ACV to actually continue to increase and accelerate. And we've seen that from the low 6% range in the beginning of the year to the 6.5% to 7% range now. The work hasn't finished. We continue to sharpen our execution. We continue to invest in a broad range of products in MI, as Martina described. And it's a little premature to get into '26 guidance or multiyear targets, but that's exactly what we'll cover at Investor Day in just a few weeks. But we're quite, I think, proud and confident in that stabilization phase that we navigated through late last year and the beginning of this year in MI and the acceleration quarter after quarter after quarter. And so I think it bodes quite well for revenue growth, organic revenue growth, organic ACV growth in the coming quarters. And we'll just -- why don't we just talk more about it at Investor Day when we see you there.
Operator: Our next question comes from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: Martina, I just wanted to ask you a little bit about the pace of portfolio moves. You said you're kind of getting to an end state of what you expected in Market Intelligence, and I'm looking forward to hearing kind of the vision over there at Analyst Day. But I wanted to ask, once you're done with that and kind of the spin-off of the Mobility division, is there going to be a focus on other divisions in the same way? In other words, should we see -- do you see yourself making portfolio moves within the Commodity Insights in a way that -- you just wouldn't do so much at the same time. So should we be seeing more of it but just focused in other areas? And then, also, if you don't mind just circling back to what Toni asked about in terms of the market growth in -- market improvement in Market Intelligence versus your execution, it just wasn't clear to me whether you're seeing improvement in the end markets or not, if you could just address that as well.
Martina Cheung: Shlomo, thanks for the question. Well, we are, I think, as we said, substantially complete with the portfolio optimization that we embarked on within Market Intelligence over the last several years with the announcement of EDM and thinkFolio. And look, we are always going to be good stewards of shareholder dollars. We're going to make sure that our products align with our strategy, our customers' needs and balance that with value realization for our shareholders. And so from time to time, we may do tactical divestitures, certainly nothing at the level of something like Mobility, for example. And we'll continue to do that very tactically as we go forward. I think in terms of the end market conditions in Market Intelligence, I would really just point you to how we think about our business. And look, a great example there is the desktop. The Capital IQ Pro desktop continues to perform strongly and actually it's growing faster than the end market. And so we're very focused on our execution. We're very focused on the strength that we bring in our products, the partnership that MI has with the Chief Client Office and our ability to really consolidate as much as we can for our customers with us so that they can reduce their spend and we can increase our value with them. So we're quite committed to that course of action and the team is executing very well. Thanks for the question.
Operator: Our next question comes from Russell Quelch with Rothschild & Co.
Russell Quelch: I think you mentioned on the last call, Martina, that you've started to distribute data via Microsoft Copilot, but it was limited to some of your Commodity Insights data. So my question here is, have you made any progress in integrating any more of S&P's data sets into that platform? Are you seeing any sort of notable uptick in data usage as you leverage this in some of those other AI-based distribution channels you mentioned earlier? And perhaps when should we expect to see this in revenue?
Martina Cheung: Russell, thanks for the question. Yes, so the Commodity Insights data availability in Copilot has really captured quite a bit of attention with our Commodity Insights customers, and the team has been able to monetize that as an add-on to subscriptions with existing clients. So that's been great. And we've been working with Microsoft on getting additional data sets in there, for example, with Market Intelligence. Now we have been on a journey, as you know, and you can see, to partner with many of these players around the industry. And the method and approach there is to ensure that we're enabling our clients to maximize the value they get out of these various channels. Today, this is licensing additional channels for customers. And it's actually quite common for our customers to license our content via multiple channels already. So very consistent with what we've done in the past. And many of these players have actually approached us. So after our first few announcements, we actually got quite a bit of reverse inquiry from the LLMs and hyperscale players to work with them also. And we have a huge amount of interaction with our clients, depending on which partner it is that they want to work with and work with us as well. And as I mentioned, with the example of IBM and there are other examples beyond that, we look at this as a means to tap into new clients as well, so new client acquisition channels also. Look, the last point I'd make is we're learning as much about these players as they're learning with us as we go through these partnerships. In many cases, the strategies for the LLM players and the hyperscale players are actually quite unique and different. So we don't necessarily see any one of these players with exactly the same strategy as another. And as we evolve, we're very flexible in how we can work and how we can create additional value. And as we evolve, we'll likely see these relationships evolving with the pace of the technology as well. So exciting time. One additional point I would make here and just for the absence of doubt, we are very conscious of how we protect our IP in all of these arrangements. And importantly, we don't add all of our data into these channels either. There are some data that we think are best provided through our own platforms. So more to come on that, I would say, Russell, in a couple of weeks, but it's definitely creating quite a bit of value for us and our clients. Thanks for the question.
Operator: Our next question comes from Jeff Meuler with Baird.
Jeffrey Meuler: Can you just run through where you have revenue sensitivity to IPO volumes just with the backlog, I guess, building into '26, but also does the materiality even rise to a level where we see it in numbers as we think through the short-term impact? Obviously, really good MI numbers in Q3, government shutdown potentially impacting Q4.
Eric Aboaf: Jeff, it's Eric. I think the revenue sensitivity to IPO volumes specifically are primarily in MI around some of the volumetric and transactional usage revenues that we report. In fact, if you look at our supplement, as the capital markets accelerated in third quarter, you would have seen that, what we call, the non-subscription transaction revenue growth in MI was 13%. The non -- the recurring variable revenue was up 11%, right? Those are really coming through, in particular, in the Enterprise Solutions space, where you've got kind of usage metering and pricing in effect on a number of the products and subproducts. So that's, I think, the immediate one. The broader one is, as you have more IPOs in the marketplace, there'll be more debt and equity issuances, and those tend to help the franchise broadly as well.
Operator: Our next question comes from George Tong with Goldman Sachs.
Keen Fai Tong: Historically, you've delivered pricing increases in the 3% to 4% range. As you increasingly include AI functionalities into your products and drive product upgrade cycles, how do you see your pricing increases trending going forward?
Martina Cheung: George, it's Martina. I'll start there and hand over to Eric. We will always base any pricing conversations that we have with our clients on the value that we generate from our clients. And we certainly see and hear a lot of very positive feedback from our clients from not just the AI enhancements, but the additions to content, the additions to various different features and enhancements that we've got across the entire portfolio. And so that can show up in multiple ways. It can show up in retention. It can show up in new sales, and it can show up in actual price increases. This wouldn't be something we'd expect to actually break out separately, but let me turn over to Eric and see what else he has to add here.
Eric Aboaf: George, I would just add that the AI benefits will come through the revenues over time in a multiplicity of ways, as Martina described. The execution focus that we have right now is actually rolling out those offerings within products as new products, et cetera, and then really monitoring and surveilling the usage of those offerings, right? Just we want to see them each go up an S-curve of usage, usage by our existing clients, the usage by new clients, the amount and depth of usage and repeat usage. That's the way we can ensure that we monitor and see where clients are getting the value that they're looking for. And playing that back to clients is exactly what they like to see because they're trying to understand how to get the benefits of AI through their ecosystem and ours, and it's a natural way to do it. So that's the focus right now, and I think will pay dividends over time.
Martina Cheung: Yes. And George, maybe just one other point I would add is, don't forget that we will also launch new products using Generative AI. So think about us launching agents, think about the reference I made to the ProntoNLP filings product as well. And so those are other ways that we would think about commercial value from Generative AI and product related. Thanks for the question.
Operator: Our final question will come from Sean Kennedy with Mizuho.
Sean Kennedy: Really nice results, especially in Market Intelligence. Great to see. So I had a follow-up question on the data partnerships. How do we think about the incremental margin profile from the current and future partnerships? You touched on this a bit earlier, but do the potential new customers still need an S&P subscription? Or are you exploring different revenue models like consumption to help fully unlock the value of your data assets in the GenAI era?
Martina Cheung: Sean, thanks. I'll start and certainly, we can -- Eric, if there's anything else you want to add, you can chime in as well. So right now, Sean, all of this has been done off the basis of customer needing to have a license with us. Frankly, some of that is actually because some of the capabilities may not yet exist depending on the partner in question to actually license a new customer over that channel. So that's why we say we look forward to customer acquisition with new customers on a go-forward basis. So right now, it's very much on the current license base. The revenue model going forward, look, I mean we may consider additional ways to monetize. We're a little far away from that at this point. Again, some of it is just where the LLMs and hyperscale partners are in their own journeys, but we're being proactive in thinking about that and the full opportunity there as well. Eric, anything else that you'd add to that?
Eric Aboaf: No, I think that's really a clear summary. We're excited about this space. The protections we have between permissioning and licensing and the paywall are just natural, both defensive mechanisms, but also ways to monitor usage. And as we get more usage, there's more value, and that has a very virtuous and positive benefit to our results, including the financial results and growth over time.
Martina Cheung: Okay. Well, I do want to say a huge thank you to all of the colleagues at S&P who delivered a phenomenal Q3. I'm very proud of everyone and a huge thanks to all of you. Thank you to all of our participants on the call today for your questions, and we're excited to see you in 2 weeks. Thanks again. Take care.
Operator: Thank you. That concludes this morning's call. A PDF version of the presenter slides is available for downloading from investor.spglobal.com. Replays of the entire call will be available in about 2 hours. The webcast with audio and slides will be maintained on S&P Global's website for 1 year. The audio-only telephone replay will be maintained for 1 month. On behalf of S&P Global, we thank you for participating and wish you a good day.